Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:06 Good day, and thank you for standing by. Welcome to the Cardlytics Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in listen-only mode. After the presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised today’s conference maybe recorded. [Operator Instructions]. 0:35 I would now like to hand the conference over to your host today, Kirk Somers, Chief Legal and Privacy Officer. Please go ahead.
Kirk Somers: 0:49 Good evening, and welcome to Cardlytics fourth quarter and full year 2021 financial results call. Before we begin, let me remind everyone that today's discussion will contain forward-looking statements based on our current assumptions, expectations and beliefs, including expectations about future financial performance or results, our financial guidance for the first quarter, our ability to achieve key long-term priorities, the increase in MAUs or monthly active users connected to our ad server, our new user experience, the increase in ARPU or average revenue per user, our cash position, the impact of COVID-19 on our business and the economy as a whole, the sufficiency of our capital structure, economic recovery across verticals by the end of 2022, including the improvement within the travel vertical in 2022, maintaining 30% annual growth rates, achieving positive cash flow by the end of 2023, plans for Entertainment and their content, adding new FIs or financial institutions and open banking partners, growth of Bridg, our margin profile, continued momentum in 2022 and the anticipated benefits of our acquisitions of Dosh, Bridg and Entertainment. 2:02 For a discussion of the specific risk factors that could cause our actual results to differ materially from today's discussion, please refer to the Risk Factors section of the company's 10-K for the year ended December 31, 2021, filed with the SEC. Also during this call, we will discuss non-GAAP measures of our performance. GAAP financial reconciliations and supplemental information are provided in the press release issued today and the 8-K that has been filed with the SEC. Today's call is available via webcast, and a replay will be available for one week. You can find the information I've just described on the Investor Relations section of Cardlytics' website. Please note that a supplemental presentation of our fourth quarter results has also been posted to our Investor Relations website. 2:44 Joining us on the call today are Cardlytics' CEO and Co-Founder, Lynne Laube; and CFO, Andy Christiansen. Following their prepared remarks, we'll open the call to your questions. With that, let me turn the call over to Lynne. Lynne?
Lynne Laube: 2:59 Thanks, Kirk, and thank you to everyone for joining us on our fourth quarter and full year 2021 earnings conference call. We are pleased with our Q4 results, which exceeded the high end of guidance for billings, revenue and adjusted contribution. The strong performance comes as we continue to make progress across our strategic priorities, which include increasing the number of marketers working with us, bringing our solutions to new advertising verticals, including agencies, evolving the Cardlytics platform with the new ad server and ads manager as well as the integration of Bridg and Dosh and being strategic in our work with our bank partners. I'm proud of the Cardlytics team for finishing the year strong and continuing to execute our multiyear strategy. 3:38 Now let's turn to some highlights for the fourth quarter. Billings increased 42.6% year-over-year to $134 million. Revenue increased 34.2% year-over-year to $90 million and adjusted contribution increased 48.5% year-over-year to $44 million. Our Q4 results reflect year-over-year growth across all of our advertising verticals and growth over 2019 in every vertical except travel. All sales verticals contributed to Cardlytics achieving its highest billing quarter ever in Q4 and growing the number of advertisers with over $1 million in ad budgets by 46% year-over-year. 4:14 Let me share some specific examples of what we accomplished. Our direct-to-consumer team had another strong quarter. B2C has become a significant part of our business and has grown to represent nearly 30% of our ad budgets. Traditional Cardlytics verticals like restaurants are also realizing synergies as we expand our platform. For example, a top client in the quarter was the result of a cross-team effort between our restaurant and agency verticals, which also shows that our agency strategy is bearing fruit in more ways than one. Speaking of agency and our self-service initiatives, we secured our largest annual agency agreement to date in Q4. This multimillion-dollar contract brings 90-plus potential advertisers to the table for Cardlytics and is indicative of the broader trend we're seeing. Agencies are increasingly turning to the Cardlytics platform due to the performance-based outcomes we can provide for their clients and the self-service capabilities we're building. In Q4, agencies more than doubled their ad budgets with us year-over-year. Throughout 2021, we added over 30 advertisers through more than 10 new agency relationships. We expect these tailwinds to continue as ad agencies focus their strategy on achievable, measurable outcomes. 5:21 Our ad budgets from travel and entertainment are still down almost 45% compared to 2019. But we continue to see positive signs. Today, our travel client base is much more diversified when compared to 2019. And for the first time, every hotel and airline co-brand of our major bank partners included Cardlytics in their 2022 budget. We expect this trend, combined with the continued recovery in consumer spending, to help improve the travel vertical throughout 2022. Our strategic focus on logo expansion is also contributing to our success. 5:54 During Q4, we had 505 logos on the Cardlytics platform compared to 339 in Q4 of 2020. This logo expansion is having a positive impact on our customer concentration. Revenue concentration from our top 5 customers decreased from 30% in Q4 of 2020 to 22% in Q4 of 2021. And we saw a similar trend with our top 20 customers. 6:17 Concentration is always lowest in Q4 due to ad budget seasonality, but Q4 2021 marked our lowest level of concentration ever as a company. While our main focus over the past two years has been on building a strong foundation with national advertisers, we're now beginning to lead into the mid- and small business markets to expand and diversify our demand. We're pleased to announce that we acquired a company named Entertainment in January for $15 million in cash and stock. With a transaction multiple of less than 2x revenue, this acquisition enables us to continue expanding our current offer content. Entertainment has relationships with tens of thousands of local advertisers across the US and a team with years of experience focused solely on the mid and small business markets. Their results have been significantly impacted by COVID. But with our scale, we see an opportunity to materially grow this business. Our plan is to use Entertainment's content on the Cardlytics platform once our bank partners launch our new ad server and roll out the new user experience. 7:10 Additionally, we think this content will help us penetrate other banks who are hesitant to show their data but still want local content. As we announced last quarter, nearly 100% of our MAUs in the US are connected to the new ad manager. So we have shifted our focus to optimizing campaigns built on the new ad manager and the adoption of our ad server at our bank partners. With less than 5% of MAUs connected to our ad server today, our aggressive goal is to have 50% of MAUs connected by the end of the year. We and our bank partners continue to be excited about the capabilities that will be unlocked by our ad server. In our experience, our bank partners need a lot of time to plan and launch technology updates, so it's difficult to give more precise estimates at this time. 7:50 The benefits of our product initiatives are starting to become clearer each quarter. As you know, one bank is currently running the new ad server and launched a pilot of product-level offers in Q4. While the sample size was small, the early results are impressive. We saw a lift in trips of 13.5% and a lift in basket spend of 9.4%. I would like to point out that seeing basket lift is a meaningful win-win situation. This means we can go after budgets for manufacturers while also improving the stores who are increasing their overall sales. In addition, we saw average activation rates similar to our restaurant vertical, which has the highest activation rates on the platform. We'll have more updates throughout the year as we continue to gain more data and launch our ad server at additional banks. 8:33 We used Bridg POS data for a portion of this pilot, and we continue to see amazing potential with this acquisition. While the acquisition and integration process did affect the timing of prospect conversion, Bridg pipeline remains extremely strong and includes three late-stage opportunities in CPG and grocery. Overall, Bridg ARR grew 20% sequentially from Q3 to Q4, which is much faster than the prior two quarters and more in line with our expectations. We expect this momentum to continue into 2022. And like we mentioned last quarter, Bridg is entering the entertainment sector with its product. We signed a large movie theater chain this quarter. This makes us the only performance-based channel in this industry. 9:11 With those now have 13 publishers live with the program and 19 publishers under contract and scheduled to launch later this year. Additionally, despite a delay, the marquee partner we mentioned last year is scheduled to launch the Dosh program in Q2. While these new partners represent only a small portion of our MAU base today, they represent long-term growth opportunity and enable us to further diversify our base of MAUs. 9:35 Our UK business posted 67% year-over-year billings growth in Q4. However, UK billings are still below 2019 levels as the economy was hit particularly hard by the effects of COVID. The year-over-year growth in the UK was aided by our open banking solution. The Nectar Connect program now has nearly 0.5 million members, making it one of the largest open banking initiatives in Europe. Due to the success of this program, we've seen strong interest from other large UK brands, and we're on track to launch a second open banking initiative in Q2. We will be running a pilot with TopCashback, one of the largest traditional affiliate publishers in Europe with over 15 million UK members. 10:11 And finally, our bank relationships continue to be strong. We had over 51 million unique MAUs activate over 597 million offers in 2021, creating engagement and value for all of our banks. And of course, engagement grows as we increase ad budget and add new advertisers to the platform. Our BofA contract renewal is going well, and both parties are confident that our mutually beneficial relationship will continue for years to come. Both parties are working hard to get this done so that we can launch the new ad server and the experience it enables. 10:43 Given January of 2020 was the last full month before the pandemic, we thought investors would find it interesting to see how spend in January of 2022, compared to January of 2020, a full two years after this started. Most everyday spending categories like gas, grocery, convenience and retail are exceeding 2020 spend levels. Retail, in particular, is up 19%, the highest of any category we track. And while all broader categories are improving, many subcategories in travel and restaurant are still negative or lagging versus 2020. 11:14 Airlines and cruise lines are still being hit particularly hard with each being down 30% and 58%, respectively. Additionally, while restaurant spend is up compared to 2020, we believe this is driven largely by inflation as overall trips to restaurant categories are still down 13% when compared to 2020. Outside of this comparison, another interesting category is gas. The average fuel purchase is up 25% year-over-year. This will be a category to monitor in regards to consumer behavior, particularly as events in Russia and the Ukraine drive oil prices higher. So while there have clearly been improvements in consumer spending, our advertisers are still feeling the effects from the pandemic, specifically labor and supply chain shortages as well as new impacts such as inflation. There's also new risk due to the evolving situation in Ukraine, which could impact both our advertising partners, many of which are multinational organizations, and consumer spending. 12:07 We're cautiously optimistic that we may see a full recovery across all verticals by the end of 2022 and I want to reiterate that we believe this business will maintain annual growth rates of 30 plus percent for many years. But I do want to be clear that the global environment presents several risks to growth in the short term. With that, I'll turn it over to Andy to talk more about the quarter and our thoughts around guidance.
Andy Christiansen: 12:29 Thank you, Lynne. We're excited to welcome the team from Entertainment. Similar to Dosh and Bridg, we believe this acquisition creates many opportunities to increase the variety and quality of our offers on our platform, bringing value to both our bank partners and their customers. At less than 2x revenue, the Entertainment acquisition aligns with our strategy to diversify our content. And given our MAU scale, there's a clear opportunity to unlock the value in this business. We used a small amount of cash for the acquisition and our balance sheet and liquidity remain strong. Cash and cash equivalents at the end of the year total $233 million, compared to $237 million at the end of Q3. 13:09 Our $15 million loan facility also remains undrawn at this time. And while we're always evaluating our capital structure, we see no immediate need to raise additional funds. We believe we have sufficient liquidity to carry out our strategy and expect to reach cash flow positive by the end of 2023. As Lynne mentioned, we were quite pleased with our fourth quarter results, which provide a glimpse of the scale and power of our platform in a more favorable operating environment and why we're confident that we have a long runway for continued growth. We also believe our clients are better adapting to a unique environment where labor and supply disruptions continue to persist. 13:46 Before I dive into guidance, I'll share a few more financial highlights. Billings, revenue and adjusted contribution in Q4 all exceeded the high end of our expectations. On a year-over-year basis, billings increased 42.6% to $134 million. Revenue increased 34.2% to $90 million, and adjusted contribution increased 48.5% to $44 million. Adjusted contribution as a percentage of billings was 31.3% for the Cardlytics platform, which is back in line with our historical levels. It remains possible that we see some margin fluctuation in the near term as we continue to automate and streamline processes, but I see no fundamental changes in our margin profile. 14:32 We have not encountered noticeable margin pressure from our agency clients thus far, although that could change over time as we gain greater exposure to that channel. Geographically, US revenue from the Cardlytics platform grew 27.1% year-over-year and 29.5% compared to 2019. UK revenue from the Cardlytics platform grew 58.7% year-over-year. It is still down 9.3% compared to 2019. Our UK results are a positive sign that our business and the overall market are beginning to somewhat normalize. 15:07 Adjusted EBITDA was a gain of $2.6 million in Q4 of 2021 compared to a gain of $4.5 million in Q4 of 2020. As we've discussed, the strategic investments we are making to support our long-term growth, including our recent acquisitions, may cause fluctuations in our quarterly EBITDA. We also continue to invest in our most valuable resource, our people. In 2022, we will continue expanding our end market and agency sales teams and attracting top engineering talent. Another important initiative this year is our cloud migration, and we expect to incur costs in the high single digits, including some transitional costs later this year. We will provide updates on this initiative once it is underway. As we expected and mentioned last quarter, our stock-based compensation expense decreased $4 million sequentially from Q3 to Q4 due to nonrecurring charges related to our recent acquisitions and a few senior new hires. 16:04 We expect stock compensation of Q1 of '22 to remain fairly consistent with Q4. A large portion of our stock awards are performance-based, which leads to higher expense volatility, and we are targeting stock-based compensation expense in between 15% and 20% of revenue in 2022. MAUs grew 7.2% year-over-year to over 175 million in Q4, which reflects both organic growth from our existing bank partners as well as the launch of new partners, including US Bank. Our organic growth rate was in the mid-single digits, which is in line with our expectations and what we expect going forward. ARPU during the fourth quarter was $0.49, up 19.5% year-over-year. 16:47 For the full year of 2021, MAUs increased 9.7% year-over-year and ARPU increased 25.9%. We expect ARPU to continue to increase on a year-over-year basis as our revenue growth outpaces MAU growth, with 33.5 million shares outstanding at the end of the year, compared with $33.2 million at the end of Q3. Weighted Average shares outstanding during the quarter was $33.4 million, compared to $27.7 million during Q4 of 2020 which reflects both our 3.9 billion share equity offering and the issuance of $916,000 shares for the Dosh acquisition of Q1 of 2021. 17:29 Now turning to guidance. Throughout most of 2021, we saw abnormal month-to-month volatility as well as an unbalanced recovery in consumer spending across our verticals and geographies. Our Q4 results reflect our expectations of performance and fairly strong market conditions, and we believe conditions should continue throughout 2022. However, this optimism is clouded by the residual impacts of the pandemic and the rapidly evolving conflict in Ukraine. The supply shortages have been mitigated to some extent by product substitution, but a few of our clients have specifically noted challenges on the labor front. This could lead to some lingering volatility in ad budgets in the near term. 18:12 As it relates to Ukraine, many of our largest clients are large multinational organizations that will be affected to varying degrees by this additional disruption. And we don't know how this may change their financial outlook for 2022 or their spending plans. Additionally, we see the potential for inflation risks, that were originally driven by the pandemic, increasing even further as a result of the conflict in Eastern Europe. Persistent high inflation would likely have a negative effect on discretionary spending throughout the year. 18:43 With that said, we have line of sight to 20% year-over-year growth for Q1 of 2022. I believe there could be some upside to this number, but I want to be clear that the previously mentioned risks could restrain that potential upside. I also want to remind everyone of the seasonal decline from Q4 to Q1 due to the heightened consumer spending in ad budgets that normally exist during the fourth quarter. 19:06 Furthermore, our growth rates during Q1 are typically lower than other quarters. From 2019 to 2021, our year-over-year core Cardlytics billing growth rates have averaged less than 20% during Q1 compared to our full year growth rate of 44% in 2019 and over 35% in 2021. For the year, our expectation is that a consistent broad recovery across all verticals would enable us to exceed our long-term growth rate target of 30%. Our past results have underscored the sensitivity we have to macroeconomic forces, but our efforts to diversify our content will help provide some insulation. In the meantime, it's not unlikely that we'll have 40% year-over-year growth in some quarters and 20% in others. 19:51 We are confident we have a solid business model and one that is capable of sustaining growth rates of 30% for many years. We believe that the steps we are taking to expand our range of offerings in addressable markets will prove highly beneficial to us, our bank partners and their customers. Overall, we couldn't be more excited about the strategic progress we're making. And as always, we remain very focused on growing shareholder value and strengthening relationships with our partners. 20:17 Now I'll hand it back over to Lynne.
Lynne Laube: 20:19 Thanks, Andy. This is a solid quarter, we're cautiously optimistic that we will achieve our goals, despite the risk present in the global economy. We're happy to open up the call for your question.
Operator: 20:31 [Operator Instructions] Our first question comes from Douglas Anmuth with JPMorgan.
Douglas Anmuth: 20:49 Great to stay on for Doug. Thanks for taking the question. I have two. so first one for Andy. You talked about your expectation of exceeding that 30% for this year. And I guess with the visibility that you have so far in 1Q, like what do you think is the biggest risk to achieving that number? Is it ongoing recovery from the pandemic? Is it Ukraine or supply chain or -- if you can qualify that a little bit more, that would be helpful. And then secondly for Lynne, you talked about the 50% of revenues being connected to the new ad servers by year-end 2022. Could you talk about what's needed to get to that? Is it just Bank of America? Or do you have to have another bank be connected to ad servers to achieve that number?
Andy Christiansen: 21:34 Hey, thank you. Yes, this is Andy. Look, I think like I mentioned, we saw some volatility month-to-month right across our different verticals, geographies. And I think the 30% growth rate that we quoted, I think the environment will continue to stabilize. And I think if we see some consistency there, I see a recovery. I think we've got a ton of confidence that we're going to be over 30% in a good, favorable environment. I think to your point, right, there are a lot of uncertainties. I think when we look out and see the building inflation, that may not have as much of an immediate impact. But persistent high inflation over time will certainly have an impact on discretionary spending. And I think there are some other things as well. We do see labor and supply challenges still lingering. And so we're trying to navigate that environment. But I think as long as we're seeing some consistent improvement throughout the year, there's no reason why we can't achieve our target growth rate of 30% not just this year but, I think, for several years.
Lynne Laube: 22:47 And then on the MAU question, there's actually multiple paths to get to 50%, which we're working all of them simultaneously. So any one of our larger banks would do it, a couple of our smaller regional banks would do it. So we're working multiple paths to try and not only hit that number but actually hopefully beat it. But at the same time, if one of the big ones doesn't go in 2022, it'd be really hard potentially to make it. So we're going to start hedging our bet here and working all paths at the same time.
Douglas Anmuth: 23:22 Got it. And then if I can ask a follow-up question to you, Andy. So assuming you hit that 30% growth rate for this year, how should we think about the cadence of investments in '22? And taking the presentation, you talked about getting to cash flow breakeven in 2023. But could we potentially see that this year?
Andy Christiansen: 23:41 Well, I think we've spoken about our goals for positive cash flow being at the end of 2023. I think we see a path to that as we continue to gain scale and get good momentum with all the things that we talked about regarding our strategy, right? There are a lot of great opportunities ahead for us. And as we start to realize too some of those new things in the market, we certainly have some tailwinds. I think as it relates to 2022 specifically, we're planning for some investments in our sales and technology teams. And we also have some additional costs that we're going to be incurring related to the cloud migration. I think that timing of that is a bit uncertain, and we'll certainly update people as we kind of go through that journey there. But those initial costs, along with some of the inflationary pressures that we and many others are dealing with, I think that it's likely we're going to see an EBITDA loss, which is going to be larger than what we experienced this year. I think the degree of that is going to depend somewhat on the timing of some of the investments we're making. But that's kind of a good way to kind of think about our EBITDA and cost structure.
Douglas Anmuth: 24:56 Thanks for the clarity.
Operator: 25:00 Our next question comes from Jason Kreyer with Craig-Hallum.
Jason Kreyer: 25:04 Great, thank you. Nice results this quarter. I'm wondering if he can maybe just dissect the Q4 performance a little bit more. If you can highlight just some areas of outperformance. I don't know if that's best done on like a vertical basis or another way, but any more color would be great.
Lynne Laube: 25:22 Yes. I mean, honestly, Jason, this is Lynne. We outperformed in just about every vertical in every sort of sector. So whether you think about a vertical like a restaurant or whether you think about our performance with agencies, it was just a really solid quarter. We hit on every kind of dimension that you can hit on. So I'm not sure how much more color I can give there because like I said, pretty much every vertical was up except for travel, which we discussed. And we're feeling really optimistic about travel going into next year, given the momentum we have with co-brand partners. So it's just a solid quarter across the board. Nothing was more than expected…
Jason Kreyer: 26:01 That’s fine. Broad-based outperformance is a good thing, so that's okay. I wanted to follow up to one of the last questions. You talked about multiple different routes to hitting that 50% objective. Curious, when you talk to banks, whether it be large or small, what are the pushbacks that you're hearing for onboarding? And how do you overcome that?
Lynne Laube: 26:24 Yes. So for most of the banks, the major pushback is -- it's not really a pushback, it's just the technology project. We got to get in the queue, and so that just takes time. That's the issue for most of the banks. There are still one or two banks that are really evaluating the move to the cloud because that's an important part of the overall technology stack. I think we're going to get them all there. I've said that before. But some are still in the process of just getting comfortable with the cloud. Most are just figuring out when and how they're going to stick this into their roadmap.
Jason Kreyer: 26:58 Okay, and then Lynne, can you just go over a little bit on entertainment? Once again, I know you touched on that in your prepared remarks, but maybe just a little bit more on what they do and then what that looks like when you get that integrated?
Lynne Laube: 27:09 Yep, yep. So for those of you who are a little bit mature in age like myself, you may remember when you were younger, you had your giant coupon books that had just a bunch of local content. I had to sell them for sports teams or being on roadmaps and things like that. I know we weren't allowed to go anywhere unless we had an Entertainment coupon to use, at least in my family. But that's what it is. It's just all digital now. So they've got sort of two components to their business. They've got a direct-to-consumer app that you can log in as a customer, download the Entertainment app and get all of those really rich coupons digitally. And then they also work with publishers. Most of their publishers are non-FI today. But they work with publishers to provide that content to them to enhance loyalty programs and things like that. 28:00 So obviously, taking that digital content and putting it on our MAU scale with our banks is a pretty compelling proposition. We got them for a very, very good price. And I think we can dramatically increase the value that they can create for us, the multiples, et cetera, given how impacted they were with COVID. So it's a very small acquisition, but we're actually pretty excited about it. And one last point I'll make, and I know I said this in the script, but I do think it's an interesting way for us to penetrate banks that are not quite yet comfortable giving us their data. But let's give you some of our content, let's give you some of our technology and then let's slowly work our way into getting your data. I think it could be an interesting Trojan horse for us as well.
Jason Kreyer: 28:47 All right, I appreciate all that color. Thank you.
Lynne Laube: 28:51 Thank you.
Operator: 28:53 [Operator Instructions] Our next question comes from Kyle Peterson with Needham.
Kyle Peterson: 29:03 Hey, good afternoon, guys. Nice quarter, great to see the results. Just wanted to touch a little bit on the potential for SKU level offers and your integration of Bridg. It seems like the ARR in Bridg is progressing really nicely. I think you talked about some potential SKU-level offers kind of with US Bank or other banks on the new ad server previously. Just wanted to see if you could provide any color on how that's coming along and what potential impact from the biller side of the funnel you're seeing from potential like CPG companies and such?
Lynne Laube: 29:47 Yeah, yeah. So the product level – first of all product-level offers do require a new ad server. So you're not going to see a ton of additional momentum until we get more banks on the new ad server. The US Bank pilot was just that. It was a pilot. It didn't have a ton of scale because US Bank is a little bit on the smaller side. But the results were off the chart in terms of -- we saw not only lift in overall spend, but we saw lifts in basket and lifts in trips. So we're really excited about the results. But I think until we get another bank connected to ad server, we're not going to have much more to update on. But let's talk about just Bridg as a stand-alone sort of entity, if you will. Meanwhile, they're going out and we're getting as much scale as we can. So that when we do have another bank or more on the new ad server, we can actually start to sell these things kind of in mass at scale. And so Bridg's pipeline is super exciting to us in terms of how much momentum they have, just the momentum there is huge for us right now. And I think you saw it in the ARR. So while we're waiting for banks to adopt the ad server, we're out there scaling Bridg so that when both of those happen, we can go back at the same time.
Kyle Peterson: 31:13 Got it. That’s really helpful. And then maybe if I could just get a follow-up in on kind of thoughts on the capital allocation through 2022. It seems that you guys have quite a few on the organic growth front. You have the Entertainment acquisition. Do you think there's potential for more, whether it's tuck-in M&A? Or how do you guys kind of think about balancing some of these near-term initiatives and integrating the Bridg, Dosh, Entertainment with some of your other strategic priorities over the next few quarters?
Andy Christiansen: 31:50 So I'll start and Lynne, feel free to chime in. I think we don't have any immediate plans for any large acquisitions. But of course, we stay optimistic all the time. I think if there were to be anything in the near term or even the next probably 12 months, I think that the likelihood of it being a tuck-in is much, much greater than us doing anything of consequence. We did use a fairly small amount of cash for the Entertainment acquisition. The actual integration of Dosh is nearly complete. There are a few little things here and there, but those things are largely behind us that we're focused on. The Entertainment app integration should be fairly mild. We shouldn't see a significant uptick there in any type of integration work or cost. But I don't think there's anything of substance on the near-term horizon.
Lynne Laube: 32:50 Yes. I mean I would agree. Entertainment, we can maintain it stand-alone and simply pump their content into our new ad server. So there's not a lot of work to be done there like the server was built with that in mind. Dosh is basically fully integrated. And Bridg is really a data integration, which we've already done to some degree. We haven't done it at scale yet, but we've already integrated Bridg data with Cardlytics data for several of our clients. So I would say the integrations are largely behind us.
Kyle Peterson: 33:19 Great, that's really helpful. Thanks, guys, nice quarter.
Operator: 33:26 That concludes today's question-and-answer session. I'd like to turn the call back to Lynne Laube for closing remarks.
Lynne Laube: 33:34 Well, thank you, everyone. We did – we had a solid quarter. We feel really good about it. We feel good about going into 2022 and the momentum that we have, yes, there are some short-term uncertainties out there. We all know that. But I do think we're going to see continued recovery. We feel really good about the momentum. Even if we don't see continued recovery in a few categories, like GAAP, for example. I think we can overcome some short-term headwinds. So we're feeling great. We appreciate everyone listening.
Operator: 34:04 This concludes today's conference call. Thank you for participating. You may now Disconnect.